Operator: Hello, good day. And welcome to Diebold Nixdorf’s Fourth Quarter and Full Year 2024 Earnings Call. My name is Bella, and I'll be coordinating today's call. Following our speakers' remarks, there will be a question-and-answer session [Operator Instructions]. I would now like to turn the call over to our host, Chris Sikora, Vice President of Investor Relations. Chris, please go ahead.
Chris Sikora: Hello everyone. And welcome to our fourth quarter and full year 2024 earnings call. To accompany our prepared remarks, we posted our slide presentation to the Investor Relations section of our Web site. Before we start, I will remind all participants that you will hear forward looking statements during this call. These statements reflect the expectations and beliefs of our management team at the time of the call, but they are subject to certain risks that can cause actual results to differ material from these statements. You can find additional information on these factors in the company’s periodic and annual filings with the SEC. Participants should be mindful that subsequent events may render this information to be out of date. We will also be discussing certain non-GAAP financial measures on today’s call. As noted on Slide 3, a reconciliation between GAAP and non-GAAP measures can be found in the supplemental schedules of the presentation. With that, I’ll turn the call over to Octavio.
Octavio Marquez: Thank you, Chris. And thank you all for joining us today. Beginning on Slide 4, our focus on execution, accountability and exceeding customer expectations resulted in a strong performance in 2024. Throughout the year, our teams were executing to drive higher profitability and stronger free cash flow. We were successful on both fronts, delivering $452 million of adjusted EBITDA above the high end of our guidance range and $109 million of free cash flow, which is the company's best performance since the formation of Diebold Nixdorf in 2016. Additionally, implementing lean operations has created a solid foundation for gross margin expansion in 2025. We are targeting another year of significant improvement with low single digit revenue growth, adjusted EBITDA in the range of $470 million to $490 million and nearly doubling our free cash flow. I am extremely proud of our global Diebold Nixdorf team. We delivered on our commitments in 2024 and show consistent progress towards our long term goals. We remain focused on accelerating our growth as the high performing banking and retail technology leader. Moving to Slide 5, it is an exciting time at Diebold Nixdorf. We have taken numerous steps to position the company for long term success and create value for our customers and shareholders. Activity across our banking and retail end markets remains healthy and we entered the year with approximately $800 million of product backlog. This normalized level represents roughly six months of product revenue for the year. We closed the year strong in banking, securing major deals, including a large agreement with the top three US banks for new DN Series ATMs and three years of attached services. We continue expanding globally in emerging markets, winning major contracts in Asia-Pacific, Brazil and the Middle East as customers around the world enhance and grow their self service channels. We are delivering the innovation our customers demand to increase self service adoption and drive higher operational efficiency. Last week, we proudly announced a major milestone, shipping 200,000 of our DN Series ATMs. We are very excited to lead the accelerating ATM refresh cycle with our DN Series solution as cash recycling gains traction with financial institutions around the world. Importantly, cash recycling technology is beginning to move beyond the ATM and into the branch cash management ecosystem. In 2024, we introduced our advanced teller recycling units, which will expand the bank's ability to improve their efficiency managing cash at the branch level. This is a key differentiator for us. In retail, we reinforced our leadership position in self checkout technology and service with large wins in Europe. We also strengthened our presence in the North American market with leading quick serve restaurant brands. In January, we attended the National Retail Federation Big Show in New York where we showcased our AI capabilities to combat shrink related loss throughout the store, as well as innovation to speed up the checkout process. While there, I had the opportunity to meet with many of the world's largest retailers who expressed the need for exactly the kind of technology we excel at delivery. During the show, we announced a new agreement with Group Mousquetaires, a French retailer with major brands like Intermarché to enhance its self service checkout and help reduce shrink. We are also excited to continue building our retail market presence in North America. Which represents an attractive growth opportunity for our solutions. Our strong performance in 2024 has enabled us to start returning capital to shareholders. In 2024, we paid down $338 million of debt and today we announced a new $100 million share repurchase authorization. This represents a major milestone for our company and underscores our commitment to delivering significant long term shareholder value. Tom will spend more time on our capital allocation framework later in the presentation. Moving to Slide 6. We are improving our operational performance by implementing better processes and eliminating waste. In 2024, we started our lean and continuous improvement journey by driving excellence in our manufacturing, supply chain and logistics environment. Throughout the year, we conducted approximately 45 Kaizen events that positively impacted safety, quality, delivery and costs. For safety, our team members are our most valuable asset. We achieved a reduction of greater than 30% in lost employee time, ensuring our team members remain safe conducting their daily routine. Looking at quality, our teams realized approximately a 33% reduction in manufacturing defects, saving time and money on our production lines. For delivery, we achieved a 20% increase in on-time delivery, improving customer satisfaction and reducing lead times. And finally, looking at cost, our focus on safety, quality and delivery helped our teams achieve targeted cost reduction expectations for the year, supporting our expanded product gross margin in 2024. As we move into 2025, we are accelerating our lean and continuous improvement journey on the service side of operations. The example you see on the page is a facility in Toronto, Canada, crucial to our North America service operations where we completed a successful Kaizen event in which we identified several opportunities to address storage inefficiencies and implement the more efficient flow of materials. I anticipate, we will see continued measurable improvement in our service operations throughout the year. With that, I will turn the call over to Tom to go through our financial results.
Tom Timko: Thank you, Octavio. Before going into the fourth quarter financial results, I want to highlight two changes in the presentation of our financial information in our earnings materials. We received an SEC comment letter addressing two areas of our financial disclosure. The first being the combination of successor and predecessor periods in 2023 and the second being treatment of fresh start accounting amortization as a non-GAAP item. On the first item, going forward, our disclosures will no longer make direct comparisons to combining predecessor and successor periods in 2023 as our successor and predecessor financials reflect post reorganization and pre-reorganization Diebold Nixdorf respectively. Further, full year 2024 comparisons relative to the prior partial year successor period are not meaningful. As such, we are not providing any 2024 full year comparisons against full year 2023. Next, looking at the second item, treatment of fresh start related intangible and amortization as a non-GAAP item. Starting this quarter, we will no longer adjust for this item in our presentation. It is important to remember that fresh start accounting amortization is a non-cash, non-operational item. So this fiscal '24 reporting change does not impact revenue, EBITDA or free cash flow results. What you will see in our earnings release is our fresh start valuation created $900 million of intangible assets. Post emergence, the amortization related to these assets was backed out of operating profit as a non-GAAP item in order to facilitate comparisons to the predecessor run rates. Importantly, our conversations with the SEC have concluded and going forward this is how we will present results. In order to help you update your models, we are providing the prior five quarters going back to 4Q '23. The information on all the remaining slides and this deck speaks to these changes. The resulting impact of this change is a lower gross margin baseline due to increased amortization. However, as I just mentioned, this has no impact on revenue, EBITDA, or free cash flow in fiscal '24, as all changes are non-cash and non-operational. We have included updates in the earnings release accordingly and you can reach out to my Investor Relations team with any questions. Moving to Slide 8. You can see that we are providing a five quarter financial trend in our materials in response to these changes. This highlights our updated disclosures and demonstrates our strong performance since emerging from bankruptcy almost 18 months ago. Overall, we delivered on all of our commitments for the year. 2024 revenue was $3.75 billion with a strong contribution from banking product as we continue to refresh our global ATM install base with our DN Series ATMs and drive increased cash recycler adoption. Service and software attach rates to our hardware sales remain strong. Service revenue of $2.15 billion represents 55% of total revenue and 70% of that is reoccurring in nature. Gross margin for the full year 2024 improved 300 basis points compared to the jumping off point in 4Q '23 after the changes in financial presentation. Operationally, this was driven by pricing discipline and the impact of lean operating principles. As we discussed in our last earnings call, gross margin will vary each quarter based on geographic and product mix. In Q4, margins were in line with our expectations and full year margin ended strong at 25.3%. We are shipping our first fit-for-purpose ATMs in the APAC region in the second quarter of '25. We expect that this will help us improve full year gross margin year-over-year. Turning to operating expense. We continue to maintain our cost discipline. 2024 financial results include a full year of normalized incentive compensation, which is the primary driver behind the increase. Continuing on to Slide 9, we remain focused on actions that will improve operating leverage. Our go forward model contemplates higher margin revenue growth dropping through to the bottom line combined with gross margin expansion through continuous improvement and operating expense discipline. We delivered adjusted EBITDA of $452 million in 2024, which benefited from our supply chain and service excellence initiatives that drove margin expansion throughout the year. Full year adjusted EBITDA margin was 12.1%. In Q4, we generated $186 million of free cash flow and a record $109 million for the full year. This is a solid start on our journey to improve free cash flow, driven by higher adjusted EBITDA, stronger working capital efficiency and lower professional fees. Additionally, we addressed all corporate restructuring related headwinds impacting free cash flow in 2024. This is just the beginning as we aim to nearly double full year free cash flow in 2025. Turning the Slide 10, banking delivered a solid year in 2024 with improving revenue and profitability trends. We continue to see strong ATM refresh activity and the adoption of recycle. We are encouraged by the stable recurring revenue we are seeing in service where we consistently delivered approximately $400 million each quarter. We also delivered more than 25% gross margin for the full year, driven by our strong pricing discipline while also achieving our targets for service gross margin in the fourth quarter. Looking to the first half of this year, we will ship our first fit for purpose ATMs in the APAC region in the second quarter of '25 and launch our branch automation solutions aimed at optimizing the end-to-end branch cash ecosystem. Adding these solutions to our portfolio gives us confidence as we look at our runway in 2025, focused on higher margin revenue growth. Moving to Slide 11, the macro environment continues to impact retail product revenue but our team is seeing signs of stabilization with sequential quarter improvement in revenue and gross profit. Q4 sequential quarter revenue was up 15.7% with growth across both product and service. This is two quarters in a row of sequential revenue growth. Gross profit was up sequentially as we continue to implement our lean operating principles and improve pricing discipline. We are confident in our ability to improve service margins in 2025, given that most of our self service deliveries represent new deployments in the market. Despite near term market challenges, the long term outlook in retail remains positive with a recovery in the second half of 2025. On Slide 12, 2024 was a strong year for DN where we delivered on our financial commitments for the year. Given this momentum, our 2025 financial outlook reflects meaningful improvement in revenue, adjusted EBITDA and free cash flow. We expect total revenue to be flat to up low single digits, including a 3% to 4% unfavorable impact from FX for the year. The guidance in constant currency contemplates, banking up low single digits year-over-year with growth across both product and service. Retail up low single digits year-over-year with a second half recovery. As it relates to the quarterly cadence, revenue is more weighted towards the second half of the year with a 45% first half and 55% second half. This split is based on customer orders currently in backlog. Also, in the first half of the year the second quarter is expected to be couple of basis points stronger than the first quarter as a percent of revenue. We are continuing to work with our customers and drive operational improvements to deliver a more linear year. In 2025, we expected just EBITDA to be in the range of $470 million to $490 million. Our improvement is primarily driven by continued focus on service gross margin expansion through lean operations and maintaining operating expense discipline. There is an opportunity for improvement in services with the team targeting 100 basis points of gross margin expansion. In manufacturing, we expect small incremental improvement in full year product gross margin. Free cash flow is expected to be in the range of $190 million to $210 million, representing approximately plus 40% free cash flow conversion. Now moving on to Slide 13 with more details on our free cash flow outlook. There is nothing more important to the company than strengthening our free cash flow. We are pleased with our progress so far, particularly in our ability to clear the decks in 2024 relating to our corporate restructuring, which positions us well for 2025. Building off our strong momentum; in 2024, we have line of sight to delivering on our free cash flow guidance range based on the debt financing we completed in December that provides approximately $70 million in annual interest savings; approximately $30 million contribution from higher adjusted EBITDA using the midpoint of the guidance range, driven primarily by service margin expansion; approximately $20 million contribution from reduced professional fees related to corporate restructuring; and we are also factoring into a bridge $30 million impact from strategic investments, including CapEx, combined with the impact of strong accounts receivable harvesting in 2024. This outlines what we can achieve next year as we drive towards our goal of best-in-class free cash flow conversion of plus 60% over the next three years. It is also worth noting we will be providing additional details on our longer term business and financial outlook at our Investor Day on February 26th in New York City. Please mark your calendars and plan to join us for the morning as we cover our value creation framework for customers and shareholders. Please reach out to Investor Relations team for more information. Turning to Slide 14. Since our corporate restructuring in 2023, we have been focused on building a fortress balance sheet. Our actions have created significant shareholder value with our stock more than doubling since that period. At the end of the year, we have more than $600 million of liquidity comprised of $328 million of cash and short term investments and $310 million of capacity on our revolving credit facility. Our net debt leverage ratio was at 1.4 times, well within the range we have set for the company of 1.3 times to 1.7 times. We paid down $338 million of gross debt in 2024 as part of our refinancing activities. We achieved credit ratings from S&P and Moody's that reflect the impact of the work we are doing and remain committed to. And we extended our debt maturities to 2030 while significantly reducing our cost of debt. The stock price appreciation reinforces that we are taking the right steps to build a solid foundation by reducing leverage and strengthening liquidity to support our operations. This is a foundational element of the company going forward that we worked hard to put in place. Moving to Slide 15. We are implementing a disciplined capital allocation framework. First and foremost, we are committed to maintaining our fortress balance sheet. We are focused on strong liquidity, low leverage, improved credit ratings and further reductions in long term debt. Second, we are making strategic investments in the business to continue driving portfolio innovation and infrastructure upgrades, both of which better position the company for future growth. Our CapEx and strategic investments in the business will be focused on growing the North American retail business and building out our banking branch automation solutions. DN benefits from running a CapEx light model, representing only approximately 1.5% of sales, which compares favorably to our peer set. Third, we continue to be guided by our commitment of returning capital to shareholders. We are doing so in the form of a share repurchase program. At current levels, we believe this is the best use of excess cash. We announced our first $100 million authorization that we will start executing against this year. Lastly, we want our capital allocation framework to allow for small, disciplined and opportunistic M&A and strategic growth investments. We are always evaluating tuck-in opportunities for small investments that would accelerate our growth. Now I will turn it back to Octavio.
Octavio Marquez: Thank you, Tom. To wrap things up on Slide 16, we delivered a strong year, focusing on customers, employees and improving operations. I am excited about the future of DN. In banking, we see steady demand in our end markets for DN Series ATMs and are focused on optimizing the end-to-end cash ecosystem with our branch automation solution. In retail, we have invested in accelerating our North America growth opportunity and enhance our self service offering with AI computer vision. Retailers are impressed with how our solutions address their pain points and drive higher efficiencies while better serving their customers. We are at the initial stages of our lean journey. And as you have seen, we have made tremendous improvements building efficiency in our operations. We are expanding our lean efforts throughout the enterprise going into 2025 with a particular focus on our service business. And finally, my thanks go to our 21,000 employees around the world as we work to build a top performing company for our customers and shareholders. And with that, operator, please open the line for questions.
Operator: [Operator Instructions] Our first question will come from the line of Matt Summerville with D.A. Davidson.
Matt Summerville: So maybe let's start in retail, two things. So you're talking about the second half recovery. First, help me understand if that's led by POS, if that's led by SCO, a particular region? Do you already have orders in hand to support that view? Help me understand the thinking on the second half recovery, and then I have a couple of follow-ups.
Octavio Marquez: Thank you, and apologies for my voice. I I've been so happy with the results that I've been jumping up and down celebrating so my voice is a little bit scratchy. But in all seriousness, we ended the year strongly in retail with sequential improvements in revenue and also significant orders for the back half of the year, particularly in Europe around both SCO and POS. We won some very large contracts in our -- with our European clients that will start to be delivered in the second half of next year and those include both SCO and POS. So that gives us good visibility on why we see that second half recovery. Secondly, we've made significant investments now in our North America sales team. I am convinced now as well market transition from very tightly self checkout solutions that include hardware, software and services as the US was the first region in the world to deploy self checkout solutions. These were very tightly coupled solutions. Customers are now looking at unbundling those solutions where they're looking for best-of-breed software, best-of-breed hardware, coupled with the services to support that. I am confident that with these investments and the feedback from customers, our AI capabilities around shrink and improving self checkout efficiency as well as our POS software which is cloud native, micro services space clearly start addressing the needs of retailers in North America. So I think we can win by one, being better at delivering in North America that opens scalable hardware and SCO that has gained us the number one position in Europe and gives us another avenue to software where our software is now open micro services and very easily integrated to update infrastructures that most retailers are looking.
Matt Summerville: And then just with respect to the SCO side of the business, the market obviously had a reset in '24. And I'd be curious, off of a record '23, how much of a decline do you think we saw in '24? And do you think the secularly driven nature of what had been driving the business leading up to and through the pandemic until last year, is that still alive well and firmly intact or should we be thinking differently about the SCO market going forward?
Octavio Marquez: So Matt, I would say that the decline vary significantly by region. Clearly, Europe, which is one of our biggest markets saw the biggest decline with countries like the UK, Ireland, experiencing more pronounced declines in other markets. At the same time, it is important to note that self checkout is moving into other retail verticals whereas we were very concentrated on grocery, we've now in wins in fashion, general merchandising. So clearly, the market is expanding for self checkout and that is very tied to those secular tailwinds that we think will return in the latter half of this year around more store efficiency, improving customer journeys and frankly, a shift in the consumer preference for these types of technologies. On the other side, remember, we are the number one provider of self checkout in Europe but a distant number three in the US. The US is one of the largest retail markets overall. So I'm very encouraged that the new team that we have put in place with the changes in buying behavior from our North America retailers and I'm sure that that will help us reaccelerate growth in retail in the second half of the year.
Matt Summerville: And then maybe I'll do one more. On the banking side of the business, I think you talked about on an early slide you have about 75% of the installed base that's still sort of up for grabs with respect to refreshes. So maybe talk about kind of the go forward view on this recycling led refresh cycle, maybe a baseball analogy may be helpful adding a little bit of regional color as to overall demand. I know there were a couple of big tenders in Brazil up for grabs. Any update there would all be beneficial?
Octavio Marquez: Once again, if you consider that we have a global installed base of roughly 800,000 ATMs, we just completed the shipment of our 200,000 DN Series last quarter. So again, we're roughly 25% in. So if my math is correct, baseball analogy, we should be somewhere in the third inning, going into the -- or somewhere or around there. So we're still in the early stages of upgrading this large installed base into recycling. If I look at it by geography, which I think is an important part, I'll start with Brazil since you mentioned Brazil. As you know, we still have a very concentrated financial industry with a couple of large banks and also some very large government banks. We were fortunate enough to win these large banking tenders in Brazil and those deliveries will start in the second half of 2025. That's a little bit of the reason why our year will be a little bit more back end loaded this time around. So these large tenders in Brazil are all for recyclers. So banks are adjusting their infrastructure to incorporate more of this recycling functionality, which again has to do more with software than hardware but it does take time. Another growing market for us is Latin America. And as you know, Latin America continues to be a very cash heavy market and banks use the ATMs as an entry point for their consumers into the digital ecosystem. So it's not strange to see in Latin America ATMs providing significant functionality around bill payments and even insurance in some cases. So we see very healthy demand coming from Latin America and it continues to be an expanding market. Out to Europe, which was a very pleasant surprise this year as it's been a very stable market, both for our products and our -- and also a very stable install base. So again, even with consolidation of some of our larger customers joining networks, we still see a very steady install base and still steady growth in Europe. I will turn to North America, where I am very excited about a different opportunity that we're looking at, which will also apply to Europe. When you think of recycling Matt, today, we've been very focused on implementing recycling at the ATM. But when you think of a bank's overall cost structure in running a branch network, we are now seeing banks start deploying recycling inside of the branch. Last year, we introduced our teller cash recycler, which uses the same technology that we use in our DN Serious ATMs. This provides a comprehensive view of the total cash being managed at a branch level. This is the very powerful way for banks to optimize their end-to-end cash ecosystem and cost of the branch. So we're excited that the US, we've seen share gains but we still have a long way to refresh our install base plus with our branch automation services that you will see us talking about really expanding our target addressable market. And lastly, when I think of Asia Pacific, one of the things that I'm very excited about is that -- and Tom mentioned it, starting in Q2, we will start shipping our fit-for-purpose devices for the Asia Pacific region. This includes a smaller footprint machine for the Indian market where there's huge volumes with lower transaction volumes. So we built machine specific for that market. At the same time, we built the highest capacity cash recycle for markets like the Middle East in some parts of Africa. So we're very excited because that will continue to drive the adoption of recycling in that part of the world. So again, I think that we are starting in the early stages still of this recycling adoption and we're looking at ways on how do we expand our target addressable market, particularly in the more mature markets where optimizing the end-to-end cash ecosystem becomes paramount to banks.
Operator: We will take our final question from the line of Matt Bryson with Wedbush.
Matt Bryson: Congrats on the strong Q4 and the guide, particularly given the currency headwinds. Just curious, I know a number of other companies have talked to potential disruption from everything that's going on in the political sphere. Are you seeing any of that impacting your business and executing through it or is it just something that's not really affecting you in part because you've got this diversified supply chain at this point?
Octavio Marquez: Let me jump in and help Tom with this one. I think we've been hit and Tom is looking at me funny to answer. But I think that we started our supply chain transformation a couple of years ago where we were very focused on really creating a local to local supply chain. So our North America installation here in Northeast Ohio supplies our products for the US and Canadian markets. Our European facilities supply products for Europe. Our India facility will supply products for APAC and our Manaus facility in Brazil supplies products for South America. We've also made a very conscious effort of developing local suppliers around each of these facilities. So we believe that we can very effectively minimize some of the impact of tariffs. Again, we don't know exactly what they will be, they seem to change very frequently. And there's always some dependency from some Asian component manufacturers. But we think that overall, we can manage that fairly effectively in the supply chain going forward.
Tom Timko: Look, the only thing that I would add to that, I think we're well positioned relative to the competition as we've really regionalized much of our production and capacity and supply chain. Less than 25% of our component base is sourced from China, that was a much different number a few years ago. So we feel no matter what the tariffs are, we don't expect really a material impact at this point.
Matt Bryson: And just -- but you've also -- you haven't -- have you seen any shift in how your customers are acting in terms of uncertainty around business conditions changing, how they're thinking about things and you're just executing through that or it's just something you're not really seeing?
Octavio Marquez: I would say at this point, we're really not seeing anything. We've got strong backlog. We feel pretty confident as we look into '25 that we'll be able to deliver what we say we're going to do and have another year. So at this point, no real headwinds other than really some of the FX that we're seeing, right, which is pretty substantial for us on the revenue side, probably 3% to 4%, about $115 million unfavorable impact year-over-year. But really other than that we feel pretty confident at this stage.
Matt Bryson: And just on the shift to recyclers, I mean, it sounds like there's a number of favorable dynamics from that transition. But can you give us some rough idea of, I guess, how far along in that transition do you think the industry is? And then any rough numbers you can give us around how favorable that shift is to either ASPs or gross margins for the banking products?
Octavio Marquez: So Matt, I think it's been a steady progression towards recyclers. If we start in 2022, approximately 45% of our shipments were recyclers then that moved to close to 50% in 2023. And we estimate that will be somewhere around the 55% as we move forward. So there's still increased adoption of recyclers and this is primarily driven by big markets like the US, big markets like Latin America and again, a steady base in Europe, which has used recyclers for a longer time but are now entering that stage and they're once again thinking of upgrading their install base.
Matt Bryson: The only other thing I would add to that, Matt, right, obviously, favorable impacts on the model, higher margin potential, annual contract revenue per cycler -- per recycler is higher compared to just a cash dispenser. And then average higher selling prices across the board, driving higher revenue even in the face of the FX headwinds that we see.
Octavio Marquez: With regards to backlog, I know you -- I don't think you mentioned it on the call. I think you targeted having about $1 billion exiting the year. Just curious if that's where you ended up.
Tom Timko: So our -- again, we had strong banking backlog that burned down in 2024. Going forward, our objective is to have a book-to-bill greater than 1 times, which would hold backlog at approximately $800 million. In Q3 earnings, we expected somewhere to be around $900 million to $1 billion and we did end the year with a little bit of impact from negative FX, closer to $800 million.
Matt Bryson: And I guess just the last thing is, I really appreciate the color around sales linearity in the coming year. But cash flow, obviously, it tends to be back end loaded. At the same time, you're trying to make it a bit more linear. Any color you can give us there about how we should think about cash flow in terms of linearity in 2025?
Octavio Marquez: First half cash flow, likely a use. We are targeting breakeven but I would say likely a use but less than prior years. We think we have some real opportunities in the first half with working capital to continue to offset some of those use headwinds that we've seen historically. We would expect third quarter to be positive to offset some of that use and then fourth quarter positive. And we feel that we're on our way to nearly double what we did this year and certainly have a good strong second half.
Operator: Thank you at this time. We have no further questions. I'll now turn the call over to Chris Sikora for his closing remarks.
Chris Sikora: Thank you again for participating in today's call and your interest in Diebold Nixdorf. If you have any follow-up questions, please feel free to reach out to Investor Relations. Lastly, we hope many of you will join us for Diebold Nixdorf's 2025 Investor Day on February 26 in New York City. We look forward to sharing an in-depth look at our businesses, markets and outlook for the company. Thanks again, and have a good rest of the day.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.